Operator: Greetings. And welcome to Century Communities Fourth Quarter and Full Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Scott Dixon, Chief Accounting Officer for Century Communities. Thank you, Mr. Dixon. You may now begin.
Scott Dixon: Good afternoon. We would like to thank you for joining us today for Century Communities fourth quarter and full year 2016 earnings conference call. After the market closed today, we distributed a press release detailing our fourth quarter and year-end financial results, which can be found in the Investor Relations section of our website at www.centurycommunities.com. Before the call begins, I would like to remind everyone that certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management's current expectations and beliefs, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those described or implied in the forward-looking statements. The company undertakes no duty to update any forward-looking statements that are made during the course of this call. Additionally, certain non-GAAP financial measures will be discussed on this conference call. The company's presentation of this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Management will be available after the call should you have any questions that did not get answered. Hosting the call today are Dale Francescon, Chairman and Co-Chief Executive Officer; Rob Francescon, Co-Chief Executive Officer; and David Messenger, Chief Financial Officer. With that, I will turn the call over to Dale.
Dale Francescon: Thank you, Scott. Today on the call, I will review our operating highlights. Rob will then discuss our homebuilding markets. Afterwards, Dave will follow-up with further details on our financial results, balance sheet and 2017 outlook. Following our prepared remarks, we will open the lines for questions. A healthy pace of activity continued through the fourth quarter to help us deliver another record year of earnings which totaled $49.5 million or $2.33 per share. This represents an exciting milestone as the 14th consecutive year of profitable results for now more mature and established company. As we look at our history, most of our growth has developed during the past four years. From 2012 to 2016 we have expanded home sales revenue, operating income and adjusted EBITDA each by a factor of 10 times. Our business today enjoys three underlying attributes that were not available to us when we began our transformation four years ago. First, our dramatically expanded scale has and does allow us to achieve impressive year-over-year results. Second, we have achieved increasingly stable and predictable performance as a result of a more established operations and better visibility as we look forward. And finally, we have recognized sustain growth and returns on equity that are taking additional steps to generate even greater returns in 2017 and beyond. Our consistent accomplishments are the result of our efforts to expand and enhance operations in each of our markets to further augment our position as the top 25 U.S. homebuilder. We have remained true to our principles to grow end markets with sound fundamentals through a cycle tested approach with a focus on enhancing returns on equity. To that end during 2016 our ROE increased by 100 basis points to 11% compared to 10% in 2015 and 7% in 2014. We are very pleased with that progress and we are focused on further expansion of returns on equity. As a prime example in mid 2016 we entered the attractive Salt Lake City market through the acquisition of 47 lots, which we have scaled up to over 1,500 well-located lots as of year-end 2016. We have already begun opening communities and delivering homes in Utah. More recently during the fourth quarter we made a two-pronged expansion into the Southeast. The first was the previously announced purchase of 50% interest in Wade Jurney Homes, which targets first time homebuyers in the Carolina, Florida and Georgia. Wade Jurney was ranked in 2015 as the 60th largest homebuilder nationally and the fastest growing private builder by Builder Magazine. Additionally, in December 2016 we entered the rapidly growing Charlotte, North Carolina market, with the purchase of 57 lots and the control of an additional 556 lots. We expect to begin opening communities in Charlotte during the second half of 2017. These southeast expansions add to our position as the second largest builder in Atlanta and give us a more balanced exposure to one of the most economically sound regions of the country. And beyond core homebuilding operations, during the quarter we formed a new wholly-owned financial services division to provide title and mortgage services to our homebuyers. This division is aligned with our objective to invest in ancillary businesses that can generate incremental value for shareholders. This business is on track to start contributing incremental earnings in the second half of 2017. It is our expectation that all of these 2016 investments will generate a high return on equity for Century, while providing stable earnings growth as we further diversify across additional buyer segments, product types and geographic areas. We expect these actions to continue building on our 14-year track record of proven results, which has driven outsized growth in revenues and profits versus peers. Looking at our 2016 results, our strategy generated significant expansion in virtually all metrics, including deliveries, revenues and net new home contracts. We delivered on our full year targets and significantly grew our home sale revenue by 35% to $978.7 million and home deliveries by 18% to 2,825 homes. During the fourth quarter home deliveries increased 26% to 812 home and home sale revenues improved 43% to $292.4 million. We were especially pleased to achieve this higher activity while recording an average selling price of 14% for the fourth quarter and 15% for the full year, reflecting favorable product mix and core price momentum. Our net new contracts also grew to 569, up 25% for the quarter and to 2,860, up 21% for the year. We continue to carefully balance growth and cost in order to maximize profits and shareholder returns. During the full year we increased our adjusted gross margin by 34% to $212.5 million. This included a 39% increase in adjusted gross margin to $62.6 million during the fourth quarter, which represented an adjusted gross margin percentage of 21.4% versus 22% in the prior year quarter. This quarter-over-quarter difference was a function of geographical and product mix combined with increases in costs, which are occurring across the homebuilding industry. We are actively working to control costs to partially offset these margin headwinds, which we expect to persist. For the full year adjusted homebuilding gross margin percentage was 21.7%, compared to 21.9% in 2015. Despite rising costs we are pleased with this relatively stable margin performance during the past eight quarters, which has been strengthened by our multimarket approach, strategic land purchases, strict underwriting standards and tightly run operations. As we have shown during the past several years, we are committed to investing time, energy and capital to advance our goal of growing Century into the most profitable builder amongst its peers. We acknowledge the near-term macro environment is clouded by a number of shifting policy initiatives and uncertain variable such as additional interest rate hikes. Currently, demand trends remain encouraging in our markets. We have an attractive pipeline of communities, a deep land portfolio and ample capital resources to execute on our objectives. We are extremely pleased with the hard work and commitment from the entire Century team, which will help drive our success into 2017 and beyond. I'd now like to turn the call over to Rob to discuss our markets in greater detail.
Rob Francescon: Thank you, Dale, and good afternoon, everyone. 2016 was a very productive year for Century Communities. We achieved four quarters of consistent progress to end the year with a much stronger and diverse platform. During 2016 we’ve strengthen our positions in all markets. We delivered a full year of considerable organic growth in new contracts, home deliveries and earnings. This success reflects our teams’ hard efforts to capitalize on favorable demand trends in our markets. Full year net new contracts increased 21% to 2,860 homes and for the fourth quarter, contracts grew 25% to 569 homes led by Nevada, Central Texas and Colorado. We ended the year with the backlog dollar value of 12% to $302.8 million from the prior year. This was helped by steady order activity continuing into the fourth quarter with our absorption pace improving by 24%. We have achieved these higher absorptions without sacrificing price. This is evidenced by average selling price and backlog which increased by 6% year-over-year. ASP and backlog has moved higher in each key region reflecting the success of our new communities and product offerings. With the exception of minor benefits from our new Utah division, all of this growth in contracts and backlog was generated by continued expansion within our existing markets. We are pleased with this progress, and as Dale discussed earlier, we continue to put our capital into wise investments that are aligned with our strict return hurdles. This includes our sourcing of additional land parcels that we are disciplined underwriting requirements. Overall, we ended the quarter with the land inventory of 39% year-over-year to 18,296 owned and controlled lots. Now looking at our market portfolio, the overall trend is positive. Beginning with the Southeast, in Atlanta our efforts to upgrade our mix across price point and product type has resulted in seven straight quarters of sequential price growth. Backlog dollar value in Atlanta at year-end was up 11%, mainly attributable to price and mix gains on a relatively stable absorption pace. The job market remained strong, which is driving steady traffic. The gap between monthly homeownership and rental cost has narrowed, which is producing good homebuilding conditions. In our newest market Charlotte, which is a top 10 homebuilding market and one that we have been carefully studying for several years, Charlotte has a favorable homebuilding environment with the steady population inflect driving demand and a relatively tight housing supply of less than three months, supporting potential price growth. Job and employment growth experienced healthy improvement for the past several years and that trend is expected to continue through 2017. Owned affordability is amongst the highest of the markets that we serve and homebuilding production is still thousands of units below historical levels. In Colorado, we had a very strong demand with fourth quarter new contracts of 43% and home deliveries rising 33% year-over-year. Prices increased in the mid-single digits, which was in line with market trends and the resell supply remains extremely low at around one month, which supports healthy fundamentals. In Utah we were pleased in the year with open selling communities and a good trajectory in terms of sales and delivery activity. Overall economic and housing fundamentals are extremely strong with steady increases in both year-over-year job growth and buyer demand. We plan on opening five communities in the first and second quarter of the year. Both Colorado and Utah have expanded employment bases and tight home supply, which align strongly with our pipeline of new communities. In Las Vegas growth in new home deliveries more than doubled following several quarters of double-digit growth in new contracts. This is a result of consistent buyer demand and our doubling of communities in that market over the past year. The fourth quarter order growth remained strong at 102% year-over-year, which validates our investment in that market. In the Las Vegas market good fundamentals has led the steady home price appreciation. In Texas both San Antonio and Austin had a strong quarter of growth in net new home contracts and home deliveries. In Austin single-family permits are still trending upward following a 12% increase in 2016. New home traffic and sales have gained momentum in recent months and we finished the year with net contracts of 36% year-over-year in Central Texas. The San Antonio market maintained a steady pace throughout 2016. Homes are still extremely affordable and when you combine that with job growth across many industries both tech, medical and military that make San Antonio a desirable place to buy and sell property. In Houston demand continues to be steady below the $250,000 price point and the recovery prospects are slowly improving with well staying above about $50. We have begun investing additional capital in the market as part of our transition to more entry-level product. We more than doubled our total owned and controlled lots to 1,169 at year-end 2016 compared to 2015 and continue to pursue new land deals to capture more of the first time buyer demand. As you can see most of our markets experience favorable homebuilding conditions, as always we remained focused on entering markets with attractive long-term fundamentals, strengthening market positions and supporting growth initiatives with the fully leverage balance sheet. While we pride ourselves on offering a wide variety of price points and product in order to appeal to a diverse buyer profile, we have and continue to deliver entry-level home as meaningful part of our business. In an effort to grow this segment we have recently introduced our Century Complete line in Colorado which is solely focused on catering to this buyer demographic. Century Complete homes have smaller square footage, price points in the $200,000 and provide an attractive homebuying options for the first time buyer segment. Continuing on our strategy to increase our percentage of entry-level offerings, our recent investment in Wade Jurney Homes allows us to leverage its unique business model, which requires less capital investments and yields quicker asset terms. In 2016 Wade Jurney delivered 1,129 homes generating $161.6 million in revenue and ended the year with more than 3,400 owned and controlled lots. Given the demonstrated success of this operation, coupled with the immense opportunity in the entry-level market, we intend to grow this brand and expand it into additional markets. As a result of our recent efforts we now have a much broader position in the rapidly growing Southeast, as well as an even greater exposure to first time buyers within our portfolio. In summary, based on our strong 2016 results and our positive views on the homebuilding environment, we are energized to further grow our business and enhance returns in 2017 and beyond. I will now turn the call over to Dave who will provide greater detail on our financial results for the fourth quarter.
David Messenger: Thank you, Rob. Our strong 2015 results continued into the fourth quarter. During the quarter we increased net income by 15% to $15.1 million or $0.71 per share compared to $13.2 million or $0.62 per share in the prior year quarter. This great progress reflects the expansion of our homebuilding operations and improving returns on equity. For the fourth quarter, our pretax income was $21.9 million. For the full year our pretax income was $73.1 million, an increase of 21% year-over-year. Our net income was $49.5 million or $2.33 per share compared to $39.9 million or $1.88 per share. Fourth quarter adjusted EBITDA grew 25% to $30.9 million, compared to $24.8 million the prior year quarter attributable to revenue growth. Adjusted EBITA for the full year was $99.9 million up 28% compared to $77.8 million in 2015. Home sales revenues for the fourth quarter were $292.4 million, an increase of 43% compared to $204.5 million in the prior year quarter. This improvement in revenues was mainly driven by 26% increase in home deliveries to 812 and higher average selling prices which increased to $360,100 in the fourth quarter 2016 compared to $317,100 in the prior year quarter attributable to a shift in regional and product mix in core price gains. For the full year we grew home sales revenues by 35% to $978.7 million and home deliveries by 18% to 2,825 homes. Net new home contracts for the fourth quarter increased to 569 homes, an increase of 25% compared to 455 homes in the prior year quarter, mainly due to stronger demand trends in most of our divisions driving an overall increase in absorption rates led by Nevada, Colorado and Central Texas. For the full year net new home contracts increased to 2,860 homes, an increase of 21% compared to 2,356 in the prior year. Gross margin percentage on homes closed in the fourth quarter was 19.2% compared to 20.4% in the prior year quarter. Excluding capitalized interest and purchase accounting impacts from cost of sales our adjusted gross margin percentage in the quarter decreased slightly to 21.4% versus 22% in the prior year quarter. For the full year adjusted homebuilding gross margin percentage was more stable at 21.7% compared to 21.9% in 2015. SG&A as a percentage of home sales revenues was 11.9% compared to 10.7% in the prior year quarter. Our comparison was a result of certain 2015 one-time benefits coupled with numerous investments made in 2016 that will produce results in 2017. In regards to the 2016 SG&A investments we made significant strides in setting up our financial services subsidiary and continue to expect profitable results in the second half of 2017. We have made extensive preparations for stock compliance in anticipation of surpassing the $1 billion threshold in 2017. Additionally, we started the greenfield operations in Salt Lake City, which we expect to produce meaningful results in 2017 and Charlotte which we expect to produce meaningful results in 2018. In regards to our financing operations, our ramp up is progressing according to plan and we have begun hiring people and started the licensing process for Inspire Home Loans our new mortgage entity. As previously mentioned, given the lead time necessary for hiring loan officers, licensing and taking applications, we expect to begin closing loans in the second quarter but don't expect to generate profits until the second half of 2017. Now turning to our balance sheet and liquidity. As of December 31, 2016, the company had total long-term debt of $454.1 million which included the $250 million senior notes with a fixed rate of 6.875% senior notes due 2022. In January 2017 we took an opportunity to raise an additional $125 million under the significant senior notes at [ph] 102 par (24:00) with an effective interest rate of 6.19%. We used net proceeds to repay outstanding indebtedness under our revolving credit facility as planned. As a result, as of December 31, 2016 and on a pro forma basis, including this refinancing activities, the company had total long-term debt of $455 million and total liquidity of $360 million, including $310 million of availability on our $380 million revolver. Our pro forma net debt-to-capital ratio remained essentially unchanged at approximately 46%. During the quarter we were able to issue approximately 578,000 shares under our ATM for $12.1 million or $21.37 per share. These proceeds were used to match fund our land acquisitions. In closing we are pleased with the balance improvement in results across our diverse footprint during the fourth quarter and full year. As we move through 2017 we plan to deliver another year of earnings improvement as we take advantage of strengthening positions in legacy markets and ramp up activity in more recently entered markets. Most of our housing markets continued to perform in line with expectations supported by positive economic fundamentals. However, we anticipate potential for interest rate increases may impact buyers. The additional stability provided by our expanded scale gives us confidence as we head into the new year. With these points in mind we are excited to introduce our full year 2017 outlook. We expect deliveries to be in the range of 3,000 to 3,300 homes and home sales revenues to be in the range of $1 billion to $1.2 billion. We expect to open approximately 35 to 40 new communities throughout the year and close on approximately equivalent number ending the year between 90 and 100 selling communities. While we do not provide guidance on a quarterly basis, we expect net income trends to be seasonally similar to 2016. Our first quarter will experience our lowest closing and net income. After the first quarter we expect earnings to grow as the year progresses. Operator, can you please open the lines up to Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Jay McCanless of Wedbush. Please go ahead.
Jay McCanless: Hi. Good afternoon, everyone. Thanks for taking my questions. The first question I had on the SG&A line, $34 million was certainly higher than what we were looking for. Are there any one-time items in that number and could you maybe talk about how we have modeled the run rate without going into ’17?
David Messenger: Yeah. Hey, Jay. It’s Dave. In the fourth quarter we had several investments that we have made that we [inaudible] (27:19) platform. Our financial services subsidiary hired new individuals involved with compliance, secondary market accounting, IT field personal, we had preparations for surpassing the $1 billion threshold in 2017 negatively transact, so those investments were relatively expensive. That involved hiring numerous consultant and several in-house people. We engaged not only in-housing accounting firm but also engage our current auditors to do fair amount of testing and documentation and it almost cost a $1 billion threshold this year. We also made -- as we have discussed previously several investment in our Salt Lake and Charlotte operations. Currently our Salt Lake Division has two open communities and as Rob mentioned, that’s going to grow to seven by the end of the second quarter and both the Salt Lake and Charlotte division have had ran personal sales and operation individuals hired as they claim for the growth in 2017, 2018, a lot of those investments were obviously one-time items that happened in 2016 that will produce a meaningful result held into 2017 and ’18. So as we look at -- look forward going into 2017 with fourth quarter being approximately SG&A as a percent of home sales revenue is 11.9%, we expect that or a number similar to that for full year 2017.
Jay McCanless: Okay. Great. And then second question I have, as I look at the closing mix on geographic basis from Q3 ’16 to Q4 ’16 there wasn’t really much change in terms of percentage mix except for the Utah houses coming on. Is that one of things that led on gross margin sequentially or did you guys get a little more aggressive and try to clear out some old specs. Can you talk about that shift from Q3 to Q4 please?
Dale Francescon: Hi, Jay. It’s Dale. We saw really nothing in the market that weighed heavily on the gross margins. Regarding it’s some variation from quarter-to-quarter depending on product mix it comes through. About the only thing that that we are seeing, I think, consistent with other people is we are seeing continued pricing pressure from some of our trade partners, that's not anything new, it’s something that we’ve been experiencing now for probably going on upwards of couple years. So nothing unusual or nothing that we saw that occur in the fourth quarter that's different than really what we saw throughout the year.
Jay McCanless: Okay. And then the last question I have, could you guys give us any color on January, how orders trended for the month?
Dale Francescon: Sure. So we look at January, first couple weeks were pretty quiet, different than the way 2016 started. At that point it’s just kind of light switch went on and it really kicked in and we ended up January, for example, incrementally higher than we did in 2016, notwithstanding, the slow start. And as we got into February we have seen pretty much a continuation of that same trend.
Jay McCanless: Okay. That sounds great. Thank you, guys.
Dale Francescon: Thank you.
David Messenger: Thanks, Jay.
Operator: Thank you. The next question is from Michael Rehaut of JP Morgan. Please go ahead.
William Long: Hey. Good afternoon. This is William for Mike. I guess switching to some of the regions that you talked about. You have done a great job holding margins steady, given some of the headwinds you talked about. But I guess given your new North Carolina and Utah positions, can you maybe update us on where you are seeing pricing are?
Dale Francescon: So looking at Salt Lake City and Utah, basically the lots we have went in and purchase there have been generally speaking finished lot deals on a rolling option. And so, with that, our margins were slightly below maybe on a consolidated basis, but still in the upper teens with interest included in that and we see that continuing. In addition to that we've also now started developing our own lots in that market and we see those margins rising above that number for the risk reward for developing those lots and so we would see those communities have a higher margin. In the Charlotte market, we have started out the same way to get our feet on the ground and that is to get finished lots in that market and that's where we positioned ourselves from an initial standpoint. Again, margins in the higher teens for that type of product we will transition, we haven’t done it yet, but we will transition in that market to also do self development of lots and then at that point we would expect higher margins.
William Long: Okay. That helps. And I guess, on the some of the older markets, but in Colorado you are seeing some of labor constraints still being kind of the headwind during that lining up?
Rob Francescon: It’s -- it really hasn’t changed significantly. The markets that we are in are attractive markets. There is competition in all of the markets and so when we look at that we've been experiencing trade shortages for some time and we're not seeing it really escalate, but we are not seeing it go away, something that is part of our job to manage our trade partners and manage our business to mitigate it as in many ways we possibly can.
Dale Francescon: We are seeing some early signs though as the apartment construction is starting to slowdown in some of the markets. We are seeing a free up of some labor as a result of that and we think that is a trend and will continue.
William Long: Okay. That makes sense. Thank you.
Operator: Thank you. The next question is from Will Randow of Citi. Please go ahead.
Will Randow: Hey. Good afternoon, guys and congratulations on the progress.
Dale Francescon: Thanks, Will.
Will Randow: You mentioned a couple of points that dovetail together well, but I was missing one, that is your expectation for free cash flow, given it sounds like community growth, it feel like it’s going to be somewhat flat with I assume absorption stronger and on that note where you are investing cash incrementally, it sounds like Southeast, Utah, but how should we think about positive, negative free cash of that working capital line item as well?
David Messenger: Hey, Will. This is Dave. I think that from a cash flow perspective you are going to see us reinvesting in our markets that obviously we have a great opportunity to invest in the Southeast, not only to our Atlanta platform but also from our new markets in Charlotte, and obviously, with Utah we are going to be investing dollars in those markets. But also we have some significant opportunities in some of our other markets where we have a smaller market share and we can invest capital in order to grow our presence in those markets.
Will Randow: So just to pinpoint you guys will be using your working capital in 2017 with [inaudible] (34:53) or how should we think about that?
David Messenger: I would think that that’s a fair statement, yes.
Will Randow: Okay. Make sense. And in terms of, it’s good to hear you guys are talking $200,000 price point on entry level, one of the few California -- oh, sorry, Colorado builders will get that. Can you talk about particularly how you are thinking about product what you are going to hit that work, is it predominately Denver or you are going to stretch out with that and what's the run rate on expanding the new entry-level product?
Rob Francescon: Yeah. Well, we are starting that in Denver as we mentioned. Our product line up starts at around 1,400 square feet and goes from there. It’s like the name Century Complete. It’s a complete from an amenity package inside of complete package house and at those lower price points. You can imagine that that's a very attractive price point in the Denver Metro area when you look at the average ASPs for new home construction. As far as rolling that out outside of Denver, Atlanta is prime for that where historically we've done entry level but not quite to that level and so we are going to expand into that in that market, as well as we are doing this going forward into Central Texas, and of course, Houston as well. So we see tremendous opportunity for that on a go forward basis. In addition, playing off, as we mentioned playing off the entry level standpoint in the U.S. right now where everybody seems to be migrating down to that and there is certainly tremendous amount of demand there. The Wade Jurney model that we have invested in continues to play directly into that market exclusively.
Will Randow: And lastly if I can sneak one and what’s your anticipation in terms of capture rate for your new housing finance arm and congrats again.
David Messenger: Hey. This is Dave. I assume a very high expectation for finance arm but given we are seeing a process of appealing warehouse lines, venture approvals, licensing, staffing, we are not really in a position yet to put out any kind of the capture rate, we will do that later in the year as we get that operation going.
Will Randow: Thank you.
David Messenger: Yeah. Thanks, Will.
Operator: Thank you. Our next question is from Nishu Sood of Deutsche Bank. Please go ahead.
Nishu Sood: Thanks. Just following up on the entry level, obviously, a topic of quite a bit of interest to investors. You got the Wade Jurney approach, obviously, Peachtree had -- has sound approach to the entry level and now you are talking about this new product in Denver. How should we think about how you're going to overlap those and expand those and think about the appropriateness? I mean, I know there are some builders that, your largest peer in Atlanta, for example, has a couple different approaches to entry level? So how should we think about the broader entry level strategy and you are going to mix and match those in a way that most tragic results?
Dale Francescon: Hi, Nishu. It’s Dale. In terms of our platform we’ve -- we always focused on building a wide variety of products so that we could appeal to a wide buyer demographic. We are not going away from that. But the entry level buyer continues to come back into the market and we want to be able to have that as a large percentage of our business. As we look at our entry level today within the Century line, it’s between 45% and 50%, and we have the ability to increase that or decrease that depending on where we see the buyer demand. And so from that standpoint that's really the plan that we are continuing on doing. Within the Wade Jurney business model, it's a different business model in that. There is no model homes, it sold from retail centers and it is an entry level price point typically sub 150 on an average that is even below what we are targeting within the broader Century.
Nishu Sood: Got it. Got it. Okay. Your overall entry level percentage then, where is it currently and you mentioned the Century branded a percentage of portfolio? Where would you look to drive the entry level percentage, I mean, obviously, the historic benchmark market overall and for builders overall has been about the 40% to 45% range. Where are you now and do you think about it in terms of target?
Dale Francescon: We really don't think about it in terms of target. That's, as I said, we think we are in that 45% to 50% right now. We think we have the ability to increase that percentage. We think that market is there and readily accessible to us. But as opposed to saying we have a percentage that we want to hit. It’s really on a case by case, deal by deal basis on where we think we can invest our capital with the greatest return.
Nishu Sood: Got it. And a question on gross margins, you mentioned that, Dave mentioned that, cost pressures influencing obviously the gross margin and the trend, similar gross margin levels in ’16 versus ’15, but ‘15 had a more of the rising trend and ‘16 had a declining trend. How should we think then about ‘17 gross margins, are we kind of starting off the year where ‘17 where we ended ‘16 and could there be downward pressure from there, how should we think about that?
David Messenger: I think as we look at 2017 we look at our backlog and kind of a pro forma product and market mix. I think 2017 will be at levels consistent with the fourth quarter of 2016. Now giving each quarter we are going to have some fluctuation in a very big market product, but for the full year 2017, it will be fairly similar to where we ended the year and the fourth quarter 2016.
Nishu Sood: Got it. And the interest in the -- went out -- to over 2% -- 2.2%, I think, it was in 4Q, given your debt-to-capital then change much over the course of year, but the interest has crapped up, are we reaching about a steady-state on that, because you seem to be kind of holding in the mid-40s on your net debt-to-capital?
David Messenger: I think, you may see a creep up a little bit more as we go later in this year given that we did the deal in January for $125 million at [ph] 102 par (42:06). So by fixing some of the debt we had on revolver that will create some incremental increase to it, remain on to that until second and third quarter as that product grows.
Nishu Sood: Okay. Thank you.
David Messenger: Thank you, Nishu.
Operator: Thank you. [Operator Instructions] The question is from Alex Rygiel of FBR. Please go ahead.
Alex Rygiel: Thank you and nice quarter gentlemen.
Dale Francescon: Thanks.
Rob Francescon: Thanks, Alex.
Alex Rygiel: Quick question, as it relates to the mix of owned versus controlled lots have changed a little bit. Is there going to be any impact or shift in gross margin from that?
Dale Francescon: No. We don't see that at the present time. I mean, we’ve purposely gone to a higher mix of controlled. However, we don't see that really changing, as Dave just talked about, gross margins, what we are expecting for 2017. We don't really see that changing off Q4 of ’16.
Alex Rygiel: And in your prepared remarks you talked a little bit about cost inflation and then in the Q&A you addressed some of vendors, were there any other cost inflation that have sort of creeped up or developed? And can you sort of comment on historically how easy it is for you to sort of push cost inflation back onto either the consumer or the seller of land, such that you can maintain steady margins?
Rob Francescon: Alex, in terms of, there is obviously the cost component related to the vertical side of the business that we have been experiencing for some time. With regard to land, land is in general getting a bit more expensive, that's obviously another large part of the cost component that goes in. We really don't find land sellers in a position where they're willing to accept much of that. We obviously try to educate them as much as we can in terms of what acceptable returns are, but in most of our markets our competitors are actively buying land as well and so there is, obviously, a fair amount of competition for that. With regard to increasing the price and push it on to the consumer, we try to do that where we can. It’s down to the individual subdivision level within the market and some markets we continue to have a pretty consistent pricing power, in other markets we don’t, where we don't see pricing power we are looking at, can we introduce a different product so that we can deliver a less expensive home and have be able to deal with some of those cost pressures. And so there is a variety of different levers. It depends on the situation down at the subdivision level and we tried to use them all.
Alex Rygiel: Very helpful. Thank you very much.
Rob Francescon: Thank you, Alex.
Operator: Thank you. The next question is from Alex Barron of Housing Research Center. Please go ahead.
Alex Barron: Congratulations gentlemen. Good job.
Dale Francescon: Thanks, Alex.
Alex Barron: I was wondering if you guys could comment on, not sure but if I missed it, if you guys could comment on any noticeable changes in cancellation trends from year-to-date versus a year ago?
Dale Francescon: No. We really haven't seen anything significant. Obviously get some fluctuation just because of circumstances, but relating to individual buyers, but there is no trend that's creating any concern for us.
Alex Barron: Okay. Great. And second question is, if you can comment on your thoughts or appetite for M&A this year, what your thoughts are on that?
Dale Francescon: Our appetite remained strong. We are seeing a bit more deal flow that started occurring in the latter part of last year, continuing into this year, more so than we saw a year ago and our appetite hasn’t changed at all, that was, as we look at that, that was part of the reason that we actually expanded our bond offering recently so that we freed up additional capacity there. We did two greenfields in 2016, which is not our preferred way to expand in the market, but we just haven't found the opportunities there in M&A bases, yet that was a good way of entering those markets. But as we look forward into 2017 we are optimistic that we will be able to find additional opportunities.
Alex Barron: Okay. Best wishes for this year. Thanks.
Dale Francescon: Thanks, Alex.
Rob Francescon: Thanks, Alex.
Operator: Thank you. We have no further questions at this time. I would like to turn the conference back over to Mr. Francescon for any closing remarks.
Dale Francescon: Thank you, Operator, and thank you again to everyone for joining us today. We look forward to speaking with you again next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.